Operator: Good afternoon, and welcome to Zuora's First Quarter of Fiscal 2022 Earnings Conference Call. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]  With that, I would like to turn the call over to Luana Wolk, Head of Investor Relations, for introductory remarks.
Luana Wolk: Thank you. Good afternoon, and welcome to Zuora's first quarter fiscal 2022 earnings conference call. Joining me today are Tien Tzuo, Zuora's Founder and Chief Executive Officer; and Todd McElhatton, Zuora’s Chief Finance Officer. We will also have Robbie Traube, our Chief Revenue Officer joining the Q&A Session today. The purpose of today's call is for us to review our first quarter results as well as provide our financial outlook for the upcoming second quarter and fiscal 2022 year. Some of our discussion and responses today will include forward-looking statements, so as a reminder, our actual results could differ materially as a result of several factors. You can find information regarding those factors in the earnings release we issued today and in our most recent filings with the SEC. And lastly, we will be referring to several non-GAAP financial measures today, and reconciliations to related GAAP measures are included in our earnings release. For a copy of our earnings release, links to our SEC filings, a replay of today's call or to learn more about Zuora, please visit our Investor Relations website at investor.zuora.com. And with that, let me turn it over to Tien.
Tien Tzuo: Thank you, Luana, and thank you, everyone, for joining us today on Zuora’s first quarter earnings call for fiscal 2022. Overall, we get a strong start to the new fiscal year. We exceeded our guidance across our operating metrics, including total revenue, subscription revenue, non-GAAP gross margin, non-GAAP operating income, and we also posted another quarter of positive free cash flow. Our execution is also improving. Our pipeline grew significantly highlighting the strength of our market. System integration partners were involved in two-thirds of our Q1 new business deals, showing the strength of our partner strategy. We had a strong up-sell quarter, which helped us reach 103 net dollar retention, up 3 points from the 100% we posted last quarter. I like to give a huge thanks to our ZEOs for their focus and dedication in Q1. They are the reason we delivered this quarter. Today, we also announced the purchase of the intellectual property assets from Live Objects, a company that specializes in AI-driven process optimization. I'll discuss later what this means. But let me first give some color on the quarter. Now I know many of you attended our recent 2021 Investor Day just last month. So, I'll keep my comments today brief. For those of you who didn't get a chance to attend, I encourage you to watch the recording at investor.zuora.com. The headline for Q1 is we executed well on the corporate strategy that we laid out at our Investor Day. At our Investor Day we talked about how we now consider ourselves a multi-product company, giving us multiple vectors for growth. With our four current products anchored on our central platform, we get the ability to upsell and cross-sell to our installed base while signing on new customers. In Q1, this strategy worked. We continue to land new logos in our new verticals. In manufacturing, new wins included auto manufacturer, Suzuki. In publishing, we welcomed Mainichi Newspapers; in technology, we added companies like Gainsight, now part of the Vista Equity group. In Q1, we continue to make great progress upselling our existing products. For example, the Central Sandbox, a key capability really helped drive platform upsells. It's actually our fastest solution to reach $1 million in sales and we doubled that in Q1. In Q1 we continue to make great progress cross-selling new products. For example, the world's largest data center infrastructure provider with Zuora is a Zuora Billing customer. And in Q1, they added Zuora revenue to automate the entire order to revenue recognition process. We're also seeing early cross-sell traction with Zuora Collect AI, our intelligent payment retry model following its March launch. In short, our land and expand go-to-market strategy is paying off. We're seeing new products and capabilities becoming a greater proportion of the overall ACV we booked in the quarter. We saw triple-digit growth in installed base bookings year-over-year. And as mentioned, net dollar retention kicked up from a 100% last quarter to 103% in Q1. As we said in Investor Day, we believe that our installed based opportunity alone is a $250 million-plus ARR opportunity and we are laser-focused on capturing this. At Investor Day, we also talked about the importance of our Zuora Central Platform. It is the anchor helping us transform from a two-product company billing plus revenue to a complete subscription experience cloud that manages our customers’ end-to-end subscriber experiences. The central platform provides customers with meaningful insights. It supports and automates end-to-end business processes and it offers the agility and scalability that is required to succeed in a subscription economy. And in Q1, adoption of our platform continue to grow, making it even more sticky as it becomes central to all subscription business processes for our customers. Over half our customers are automating and simplifying their IT processes with our platform workflows. We processed over 8 million invoices on the peak day this quarter across our platform. And last quarter, approximately 0.5 billion workflow tasks were executed, saving our customers’ time and money. And this is where the acquisition of Live Objects intellectual property assets come in. At our Investor Day, we said we will be opportunistic and looking at tuck-in acquisitions as a tool to accelerate our innovation and roadmap. I am super, super excited about this technology and it will help us accelerate this central platform roadmap. With the Live Objects team have built is an AI-driven process engine that we believe will allow our customers in the central platform to visualize the processes that are behind the awesome subscriber experiences that they are designing. To discover and map new hidden processes, including the ones that span multiple systems like CRM, ERP, or other fulfillment and provisioning systems, and will allow them to detect anomalies in these processes when they meet the customer dissatisfaction or inefficiencies. We all know that customer expectations continue to rise, call it the Amazon or Instacart effect. And those companies that offer the best subscriber experiences are the ones who will win. The central platform, including the new capabilities that the Live Objects acquisition gives us, is what enables our customers to deliver those differentiated subscriber experiences. At Investor Day, we also laid out our enterprise alliance strategy as part of our growth upmarket. And in Q1, we saw positive results of this strategy. Partnered prime deals were up, including our first partner prime deal in Japan with Suzuki. Partner-influenced bookings were up 70% year-over-year and represented approximately two-thirds of our new bookings in Q1. We also saw triple-digit year-over-year growth in new partner-driven pipeline and a considerable increase in Zuora-certified consultants quarter-over-quarter, a great illustration of our partners’ commitment to Zuora’s industry-leading solutions. The big one from the quarter was $1 billion audio visual technology company. Not only was one of the biggest four global SIs involved in the deal with Zuora, but we would also highlight our multi-product strategy at work, the company chose billing, collect and a central platform to enable its multichannel audio licensing business. In short, working with our global systems integrator partners gives us more scale and helps to accelerate our growth. And finally, at Investor Day, we explained why companies are not coming to us just for our technology, but also for our unique expertise on all paying subscriptions. We translated our 13 years of experience into a proprietary blueprints that we call the journey to usership. This blueprint is what we use to accelerate our customers on the path to building successful subscription businesses. And we gave you some examples of this during Investor Day. But let me give you three others from Q1. In Q1, a global CPG company partnered with our Subscribed Strategy Group to completely revamp their company's subscription offering, including its overall subscriber experience. We also had a consumer robotics company partnering with SSG to educate their executives on the implications of recurring revenue on their financial metrics. And finally, we work with eight of the top 10 automobile manufacturers. One of them actually first came to Zuora for our expertise to optimize their telematics business in Europe. And based on that success, they are now leaning on our knowledge of agile enterprise architectures to help them build a modern platform that can launch new offerings into the market faster than ever before. During Q1, our Subscribed Strategy group engaged with over 20 companies, also partnering with firms like the Boston Consulting Group that publish original research based on this data. And so in summary, we had a solid start to the year. The strategy we laid out at last month's Investor Day is delivering results. We continue to see our multiproduct sales motion. Our SI length of this partnership continues to deliver, and our unique expertise continues to differentiate us with our customers. With our clear strategy and focus, we are well positioned to continue capturing the opportunity of the subscription economy. Now, I'll turn the call over to Todd to review our financials. Todd?
Todd McElhatton: Thanks, Tien, and thanks for joining the call. Our team executed well during the first quarter, as demonstrated by our financial results, having exceeded expectations across our key financial metrics. Last year, we laid the foundation for long-term growth. It's great to see the incremental progress we made in Q1. As we look ahead, we will continue to focus on improving net dollar retention, meeting a target of ARR growth of 17% this fiscal year and managing top-line growth and free cash flow margin by applying a rule of 40 framework that we outlined on Investor Day. Let me first review our key metrics. Q1 was highlighted by success with multiproduct deals and solid contribution from our SI partners. Looking at our customers at or over $100,000 in ACV, we ended with 677 customers. This customer group continues to represent 90% of our business. We close five deals with ACV $0.5 million or above compared to just one in the same quarter a year ago. In Q1, net dollar retention was 103%, a significant improvement from a 100% in the prior quarter. We made meaningful progress towards net dollar retention target we set for fiscal 2022. Net dollar retention is a lagging metric and track on a trailing 12-month basis. The higher turn levels we experienced in Q2 last year will weigh in on this metric until we lap it in this next quarter. Turning to transaction volume, our systems processed $17 billion in the quarter, representing 38% growth year-over-year. Process transaction volume is helpful and understanding how much of our customer's business is running through our platform, but does not track linearly with our quarterly revenue as customer gains efficiencies as they scale. Now, let me review our Q1 financial results. Subscription revenue grew 14% year-over-year to $65.1 million and represented 81% of total revenue. As expected, subscription revenue was essentially flat on the prior quarter. Due to the daily revenue recognition, our Q1 has three fewer days versus Q4, which impacted our subscription revenue by approximately $2.1 million. As you may recall, our Q4 FY 2021 subscription revenue included a one-time nonrecurring benefit of $1.2 million. Professional services revenue decreased 11% year-over-year to $15.2 million. As we've discussed previously, our strategy and shifting more services to our system integrator partners continues to gain traction and we view the declined service revenue as a positive trend. This is in line with our strategy to improve our overall mix towards recurring subscription revenue. Total revenue eclipsed the $80 million mark in Q1 and grew 9% year-over-year. Again, our overall revenue growth was impacted by our strategy to reduce the mix of our direct professional services towards our SI partners. This not only enhances our go-to-market opportunity, but also benefits overall margin. As we drive more professional services to SIs, our overall gross margins improved. As a result of our success, non-GAAP blended gross margin was 65%, a meaningful improvement at 400 basis points from Q1 in the prior year. Non-GAAP subscription gross margin reached 79.4% compared to 78.6% in Q1 of the prior year, reflecting scale efficiencies. Non-GAAP services gross margin was breakeven, consistent with what we shared with you on past calls. We'll continue to run services on a breakeven basis as we engage more with SI partners. Non-GAAP operating loss was $2.5 million for the quarter, reflecting an improvement of $5.1 million from the prior year. This was driven by top line growth and our improving gross margins. This resulted in non-GAAP operating margin of negative 3.2%, a dramatic improvement from minus 10.4% in Q1 of last year. As I shared with you in the last earning call, operating margins will be flat this fiscal year as we absorb expenses, which weren't incurred last year and accelerated investments in go-to-market and product. Now let's turn to ARR and free cash flow. In Q1, ARR growth was 14% year-over-year. ARR growth represents the annualized value of all subscription contracts at the end of a given quarter, compared to the ARR in the prior year. We continue to be focused on our target of ARR growth of 17% for fiscal year 2022. Free cash flow was $8.6 million, driven by record cash collections during the quarter. For Q2, we expect cash flow to be slightly negative through the seasonality of Q1 billings and the employee stock purchase plan. CapEx for the quarter was $1.6 million. Looking ahead, as we outlined during our Investor Day, we're focused on accelerating top line growth while prudently managing the bottom-line. As such, we introduced a rule of 40 framework as defined by the sum of the annual subscription revenue plus free cash flow. Free cash flow margin is calculated as free cash flow divided by total revenue. Based on this rule of 40 framework, our objective is to be 15% plus this fiscal year and 40% or higher by the end of fiscal 2025. We managed to exceed this objective during Q1 due to significant cash collections and our typical seasonality of free cash flow. Turning to the balance sheet. We ended the quarter with $197.4 million in cash and cash equivalent, an increase of $10.8 million from the prior year, primarily driven by strong cash collections. We continue to be prudent with our spending levels and we've maintained a healthy cash position to manage the business. Our fully diluted share count at the end of the quarter was approximately 136.1 million shares using the treasury stock method. In Q1, we executed well and drove improved performance. We maintain discipline in our investments, targeting larger prospects and working with our SI partners. Now let's turn to our financial outlook. During FY 2022, we'll accelerate investments and go-to-market and product development initiatives while absorbing costs that were not in our run rate last year. We continue to expect free cash flow positive for the full year. For Q2, we currently expect total revenue of $82.5 million to $84.5 million. Subscription revenue of $67.5 to $69.5 million. Non-GAAP operating loss of minus $5 million to minus $4.5 million. Non-GAAP net loss per share of minus $0.04 to $0.03, assuming a weighted average shares outstanding of approximately 123.1 million. As we look ahead to the full year of fiscal 2022, we are raising our outlook and we expect total revenue of $337 million to $339 million. Subscription revenue of $274 million to $278 million. Non-GAAP operating loss of minus $12 million to minus $8 million. Non-GAAP net loss per share of minus $0.10 to minus $0.06, assuming a weighted-average shares outstanding of approximately 124.1 million. In closing, we're pleased with our execution in Q1 until we've laid a solid foundation for Zuora's long-term growth. Next, we'll open the call for your question. As the one I indicated earlier, Robbie Traube, our Chief Revenue Officer will be joining Tien, and me for the Q&A session. Operator, please open up the call for questions.
Operator: [Operator Instructions] Your first question is from the line of Joe Vafi with Canaccord.
Joe Vafi: Hey guys, good afternoon, and nice to see the steadily accelerating results here out of Zuora this quarter. I thought we'd start kind of thinking a little bit more short-term here. And next quarter, I know you mentioned in your remarks, Todd, that there's a big lapping of a headwind and net retention in Q2, and I know Tien talked about some really good growth coming out of the installed base as well. It sounds like the setup is pretty good for a bump up in net retention next quarter. I know you're not providing that guidance now, but any color there would be appreciated? And then I'll have a quick follow-up.
Tien Tzuo: Go ahead, Todd.
Todd McElhatton: Hi, Joe. So we're really pleased with the 3-point improvement that we had this most recent quarter. I think it absolutely shows the strategy is working. Look, we expect to have steadily improving performance over time. And at this point, we feel that we are on track to hit our 105%-plus net dollar retention for the year.
Joe Vafi: That's great. That's a good color. Secondly, I thought maybe - may we talk about your acquisition here a little bit, Live Objects, I think it's called. And when – how you see that product integrating what the timeline might be? And it sounds really great. And I would assume that would be an add-on purchase for customers and when potentially that may be added to the suite, although I know it's early?
Tien Tzuo: Sure. I'll go ahead and fill that. There's something that we're really excited about. I would kind of point you back to what we said in Investor Day, we have four core products. You'll think of it as three applications, building revenue, collect in each of these also built on the platform, which we call the central platform. And so we laid out a vision for the central platform with some core capabilities, the subscriber graph, the process orchestration engine. This is a tuck-in technology that will help us make those capabilities inside of central platform stronger and to celebrate some of the things that we wanted to do in the central platform itself in those areas. And so the monetization of that is still going to be the same way we monetize the central platform, but we think this will make it, the product getting stronger, making our product even stickier and celebrate the growth – our ability to deliver on the roadmap that we showed back in Investor Day. That's the way to think of that.
Joe Vafi: Okay. That's great. Thanks, Tien. And then maybe I'll just throw one more in since Robbie is on the line. I know it sounds like from the commentary that the partners and systems integrators are really starting to embrace the Zuora platform more. I was wondering if you could provide some color on how your sales effort is kind of shifting or morphing relative to more uptake from the partners? Thanks a lot, guys.
Robbie Traube: Yes. Thank you for that. So overall, I'm very, very pleased with our progress there. Overall, when we first joined by, I know it was very little progress. So what we've seen though is the ground that we've covered around three quarters of covered lives that were all influenced or sourced by SIs, and also we have massive growth in terms of the certified by consultants. And they’re really investing in their customers digital transformation. So as we look across all of our GSI partners, we’ve got really broad traction with those. And I think longer-term, the opportunity to grow and penetrate to our new business overall.
Operator: Your next question is from the line of Andrew DeGasperi with Berenberg.
Andrew DeGasperi: Thanks for taking my question. I guess the one I wanted to ask first on net retention rate, I know, Joe already asked it. But in terms of the 103%, would it be fair to say that if you exclude the churn from Q2 of last year, you're ready at 105% and over?
Tien Tzuo: Andrew, we're not giving any specific guidance on that. But like I said, we should expect to have consistent improvement over the quarters as we go to the year. And we're very confident that we'll be at the 105%-plus as we exit that fiscal year.
Andrew DeGasperi: Got it. And then secondly, on the – you mentioned that ACV customers, the customers you closed five deals with that are worth 500,000 and above. I'm just curious, are you seeing overall penetration of your revenue collect on central platform that is meaningfully higher in your pipeline right now than what you highlighted is currently the state in the – on the Investor Day?
Todd McElhatton: So Andrew, I think – go ahead, Tien.
Tien Tzuo: Yes. All the products are in motion and you're absolutely right. I mean, we love about our multi-product strategy is we don't have to sell the whole suite on Investor Day. Chegg – Jug, the CTO of Chegg said, look, what I really like about your product and your platform is I don't have to take the whole thing at one trade. I could bite off the part that makes sense for me, then I've got a growth path. And so every company is going to be in a different situation and be internally self-billing. I think the example we highlighted in the call just now and then come back and upsell revenue. But there are other customers, there’s another one that we highlight that says, what I want billing and collect upfront, other customers might say, as long as I'm doing this, I want to do the billing and the revenue together once upfront. And so we can really meet the customers where they are, but all the products are really, really in motion.
Todd McElhatton: Andrew, the other color that I might add is, we really are seeing very nice cross-sell with the multi-product strategy. And in the past, we've had probably a heavier weighting on volume and we saw a much better balance of other products being sold this quarter in that upsell number. And so I'm really happy about that because as it shows, customers are really embracing the entire Zuora platform, and I believe that's going to make the platform more stickier and help us in future net dollar retention.
Andrew DeGasperi: Thanks for that. And maybe lastly, in terms of end market strength, you mentioned manufacturing and several others, was there anything surprising in terms of the pipeline?
Tien Tzuo: No. I think what we just outlined in Investor Day, just – it was only, gosh, there's only about 45, six weeks ago – 45 days, six weeks ago. No change there. We see ourselves as having three core verticals. We believe based on our data that these are the fastest-growing verticals in the subscription economy, the fastest adoption of subscription business models, it's technology, it's media, it's manufacturing really driven by IOT. But that being said, we continue to see other industries starting to move, but no change in our focus, right? Those are our three verticals and then we continue to work with and monitor what we'll call emerging verticals.
Andrew DeGasperi: Great. Thank you.
Operator: Your next question is from the line of Chris Merwin with Goldman Sachs.
Chris Merwin: Hey, thanks so much for taking my question. I just wanted to ask about the large customers. I mean, you mentioned obviously, I think the $0.5 million plus in huge increase year-on-year, evidence of the cross-sell motion, 100 K plus seems like it slowed down a little bit, but again, you've got stronger momentum, which are very largest customers. How do we think about the kind of directional trends of each of those metrics and anything else you can share just about like for expectations for those metrics would be helpful too? Thank you.
Todd McElhatton: Hi, Chris, Todd, I will maybe take that. And if anyone else wants to weigh in, we can go ahead and do that. But look, I think we always use a little bit of seasonality in Q1 and Q4 tends to end out or wipe out a lot of the pipeline. And so we plan for that and we had quite a bit of upsell on the quarter and we were really pleased with that. And I think it really shows that our strategy of moving up market and the enterprise is absolutely working and you're right, five deals over $0.5 million. We're really pleased about that. We're seeing excellent traction in the install base. And I think we talked about that in Investor Day, the huge opportunity that we see there, and again, net dollar retention significantly improved. We were up three points. I guess maybe the only other thing I would say is, we also saw a really nice growth on the pipeline and Robbie, I don't know if there's anything you want to comment about the growth that we saw in the pipeline in Q1.
Robbie Traube: Yes. I think, overall, pipeline continues to feel good. And it's growing really as expected. Again, the focus is definitely, the area in terms of focus on the verticals ongoing on to the enterprise, overall the pipeline process on account-based marketing, all of that is working. All of that is really kicking in also alliances, right. They continue to provide that source and that influence deal flow. So overall, I think, pipeline pod is really working well, really pleased with direction there. I think the vertical focus all of that is really helping us to support the going up market.
Chris Merwin: Perfect. And maybe one follow-up would be on growth potential. It seems like as you get bigger and bigger customers, you are selling more products, I imagine. And yes, that metric is probably improving and I know you don't disclose it, but anything you can say about the directional trend of it, or a magnitude improvement from the trough of COVID last year. I mean, I know it's a two-part story with more cross sales, but it seems like the growth trajectory engine I would think is improving as well.
Tien Tzuo: Yes, I will jump in Robbie maybe you could give some color, but last year was definitely in audio because of COVID, because of just the uncertainty in those two months in Q2. But I would say the customer success focus that Robbie has put in that we've talked about in the past, that we talked about it in Investor Day by the pod structure has really, really paid off. And so, you are seeing that not just in our ability to manage churn, but also keep our customers engaged, improving NPS, and then strengthen our ability to continue to upsell some additional products, additional modules, and so on, so forth. So, I think ultimately, it's really the focus of customer success that you are seeing flow through the numbers.
Robbie Traube: Hey, Tien, maybe just I’ll add a little bit of color here for Chris. The churn level was actually below where our historical average has been and we improved on a year-over-year basis. So, we're making really good progress and those investments are absolutely paying.
Chris Merwin: Great. Thanks so much.
Tien Tzuo: And just to emphasize what Todd said, that's the raw dollar amount and so on a percentage basis, it looks even better.
Operator: Your next question is from the line of Stan Zlotsky with Morgan Stanley.
Stan Zlotsky: Perfect. Thank you so much, guys. I actually just want to get back to Chris' question for just one second. Maybe just walk us through the dynamics of if you signed five new deals with 500,000 ACV and your net new customer account greater than 100,000 improve increased by one, does that mean that there's churn or is there some kind of dynamics in the way that the metric is calculated, that that's obscuring that?
Tien Tzuo: Stan, I would answer it as the following. We had a few customers that actually had some down sells and they didn't drop out as customers, but they moved into lower. The customers that we did have churn were low dollar churns. And as we said, we had a much higher focus this quarter on upsells. But I don't have any concern about that. As I look forward to the next quarters, we have a really healthy pipeline and we expect to continue to be adding new names. And in fact, we also talked at the Investor Day about the really large opportunity that we have in our install base to continue to grow and drive topline with.
Stan Zlotsky: Got it.
Robbie Traube: Not all collaborative deals were new deals, those I forget the exact count, but some of those were actually existing customers that purchased more than 500,000 upsell from us. And so, it's a complicated thing. The big picture is, I think, that number just ebb and flow to the business quarter-to-quarter, a little bit of seasonality, and it's not something that we're concerned with.
Stan Zlotsky: Got it. And just mechanically isn't upsell included in that say if somebody is upsold wouldn't it push them above the $100,000 threshold? 
Robbie Traube: Yes, but, I think, there were more than a $100,000 already and then the dollar value of the upsell was more than $500,000. So, it was a $500,000 plus ACV deal to an existing customer that was already over a $100,000.
Stan Zlotsky: Got it. And just, why don't you dig in a little bit on the full year guidance? So, I remember you moving up a little bit more than the beat in the quarter, which is great. The profitability guide, staying within the parameters that you outlined in Q4, where are the incremental investments going? Is it R&D so the marketing – maybe there's some of it going into the acquisition you guys just announced, just kind of walk us through it?
Tien Tzuo: So, Stan, what we're doing as I have talked about is we've got incremental investments in products, and we are going to absorb the incremental cost from the Live Objects acquisition, into our cost basis. We're investing in, go-to-market. And then we had a couple of expenses, as everyone knows, last year was a funny year and there was some expenses that we didn't have that we'll be seeing this year. But we feel good about where we should land on the bottom line.
Stan Zlotsky: Got it. Perfect. Thank you so much, guys.
Operator: Your next question is from the line of Brent Thill with Jefferies.
Luv Sodha: Hi, this is Luv Sodha on for Brent Thill. Congrats guys on a great quarter. Wanted to start out by asking, I guess, you mentioned the large deal traction that you're getting. I guess as you move further up markets and into the enterprise space on the competitive front, are you seeing anyone in that space, are you replacing existing solutions or is it more greenfield, in terms of the wins there?
Tien Tzuo: Yes, I'd say this, I’d say as we continue to go up market and we can continue to take over mission critical parts of the system right behind these subscriber experiences, they are definitely going to see us start to collide with existing systems that are in place, right. We're not looking to replace ERP systems or replace CRM systems, right. But there are functionalities that might exist in those systems that might shift over to us. Now it is both and so you are going to see us go into essentially a greenfield opportunity in a large company, right, their existing product business that could be a $10 billion, $15 billion, $30 billion business, they're launching their first subscription offering. Or sometimes as subscriptions have already become strategic, it's going to be a replacement often of many different systems, consolidate it into one so that you can deliver that differentiated subscriber experience.
Luv Sodha: Got it. And a quick follow-up for Todd, I guess, how do we think about profitability? Maybe say, you are out or so is that something you're headed towards? I know you said pre-cash flow break positive for this year, but more into the out periods, I guess.
Todd McElhatton: So, I would really refer you back to the Investor Day, Luv where we talked about, where we saw us getting to in the Rule of 40 framework out to 2025. So, I would tell you, that's what we're seeing. We'll kind of see a consistent build up to there, but that's the guidance that we've given right there for how we expect to see a profitability evolve.
Luv Sodha: Got it. Thank you.
Robbie Traube: Yes. Given how recent that guidance was, there's definitely, there's no deviation from that. And this is a small tuck-in acquisition too. So, you're not going to see any deviation from the acquisition out of it.
Operator: And we have time for one last question from the line of Scott Berg with Needham.
Scott Berg: Hi, congrats on a good quarter. And thanks for sliding me in here. I guess first question Todd is on the guidance. Your second quarter subscription revenues shows that there’s still acceleration after the improved subscription billings last two quarters, which I guess is to be expected given the sales levels. But your guidance for the second half implies that that growth rate drops by about five points, which I'm a little bit surprised about. Not that it's not going to be conservative, but that magnitude seems to be a little bit big. Should we – is there something going on with those numbers, maybe around a dual perspective or maybe something else that we should consider in the back half of the year when looking at those numbers?
Todd McElhatton: So, a few things, Scott. First does, I refer you to ARR guidance. And we said we exited last year at 12% growth. We pumped up this quarter, we are at a 14% growth, at the end of the year we expect to be at 17%. So, we're happy with that. We're on track and confidence that we will hit that. The other thing that I would remind you is last year in the second half, both in the third and fourth quarter, we had some non-recurring impacts to the revenue. And if you look at that, it's probably about 220 basis points in Q3 and about 180 basis points in Q4 that impacted our – that will impact what the growth rate looks like. So again, I look back to the ARR, we'll continue to see consistent improvements through the year and there isn't any deceleration.
Scott Berg: That's quite helpful. Thank you. And then from a follow-up perspective, I guess maybe for Robbie or Tien, as you look at the deal composition today, which seems to be good and healthy, are customers buying more at the initial purchase or are you seeing that more really be, I guess, a better upsell opportunity today versus not necessarily a year ago, but maybe right before the pandemic?
Tien Tzuo: Robbie, go ahead with that.
Robbie Traube: Yes, thanks Tien. I mean we’re seeing that this land and expand version really is working very well for us. So it is that we're coming in, I'm seeing that composition very much in terms of not necessarily we’re getting the initial products in, but I'm seeing that when a revenue, for example, follows billing. And I think the overall, what we’re seeing is that people are coming in and then not doing so much even so supporting, but actually looking at upsells of added products as well.
Scott Berg: Great. That's helpful. Thanks for taking my questions.
Operator: And there are no further questions. I'd like to turn it back over to management for any closing remarks.
Tien Tzuo: I want to thank everybody for joining our call. Just to kind of summarize Q1 was a solid start to the year. We're doing what we said shortly – recently in our Investor Day. I feel really, really good about the business, feel really good about the magnitude of the opportunity, and we hope to see you in 90 days. Thank you.
Operator: And that does conclude today's conference. Thank you for participating. You may now disconnect. Have a great day.